Operator: Good afternoon and welcome to the Scientific Games Second Quarter 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded.I would now like to turn the conference over to Trent Kruse, Senior Vice President Investor Relations. Please go ahead.
Trent Kruse: Okay. Thank you, Gary and good afternoon everyone. During today's call, we will discuss our second quarter 2019 results and operating performance followed by a question-and-answer period. With me this morning are Barry Cottle and Mike Quartieri.Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call.For information regarding these risks and uncertainties please refer to our earnings release issued earlier this afternoon, the materials relating to this call posted on our website, and our filings with the SEC.We also will discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release as well as in the Investors section on our website.As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investors section of our website at scientificgames.com.Also supplemental reference slides are available on our Investor Relations website. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call.Now, let me turn the call over to Barry.
Barry Cottle: Thanks Trent. Good afternoon everyone and thanks for joining us. Before we dive into our second quarter results, I want to take this opportunity to highlight some of the key accomplishments we have delivered and the momentum we've created over the last 12 months.First and foremost, I'm proud to share that we strengthened our financial position by reducing our debt. We decreased our net debt leverage ratio from seven to 6.5. We accomplished this through both AEBITDA growth as well as an over $300 million reduction in net debt and are on track to achieve our target of approximately 5.5 by year-end 2020.We will achieve this target through both continued AEBITDA growth accelerated -- and accelerated net reduction. We are firmly committed to reducing leverage in this business and will continue this focus beyond our current target of 5.5.Second, we've assembled the best leadership team in the industry. Third, we stabilized our most strategic core market in North America game ops. Fourth, we delivered key wins in critical emerging markets such as iLottery, iGaming, and sports. Fifth, we innovated across compelling new markets and products such as SCiQ, SGVision and our industry-leading digital platforms like open platform systems, open gaming systems, and unveiled OpenSports our new end-to-end sports betting solution.Sixth, we're very proud of successfully executing our Social division's IPO creating SciPlay. And in addition to these wins, we've enhanced our focus on expense management and business efficiency as evidenced by meaningfully lowering G&A expense at an almost 10% reduction in CapEx as well as an increase of 3% in our recurring revenue base over the last 12 months.I'm very proud of these accomplishments as well as our best-in-class positioning for future profitable growth across existing and emerging markets. We're the most well-positioned player in the market to deliver best-in-class games, lottery, and sports betting to players across any channel or platform they want to play with a vision to create a seamless player experience that only Scientific Games can deliver.With that let me add some color around these accomplishments and highlight some of the key developments during the second quarter. First, we're firmly committed to deleveraging through both AEBITDA growth and debt reduction. We are pleased that we continue to execute our fiscally disciplined strategy.Our net debt leverage ratio is down to 6.5. We repaid $155 million in debt, operating income increased 29%, and we generated $109 million improvement in free cash flow to $38 million for the quarter.We have strong new leaders who are best in their industry leading Gaming, Lottery, Digital, and Social. We have enlisted Jamie Odell, a gaming industry icon and Matt Wilson, former Aristocrat Managing Director who will join next year as our Gaming CEO, to help us build the best gaming company in the world.These appointments reflect the very strategic combination of experienced industry leaders, supplemented with great talent from outside of our industry who are focused on leveraging new technology to challenge the status quo and pushes to innovate and advance our business.We are thrilled to add such capable and proven leaders to work with the great team we've already have in place. This is yet another huge step forward as we build the best talent, team, and culture in the industry, focused on delivering the best gaming experiences across any platform a player wants to play.We stabilized North American game ops, our most strategic core market. We achieved this by keeping players at the heart of all we do by creating best-in-class game franchises, enhance our product roadmap, leveraging our scale and market analytics to deliver content interoperability, and maximize deployment ROI. This approach is yielding results both on the topline and in -- through improved CapEx.A great example of this -- of the result this focus has created is the Jin Ji Bao Xi franchise. The game that was developed in Australia for land-based customers has been wildly successful in Macau and is successfully rolling out in the U.S. across multiple cabinets. It's now moved to digital and is delivering well above the house average on all fronts.The recent launch of MUNCHKINLAND, our first new WIZARD OF OZ title in four years was the top indexing new game in the Eilers & Krejcik report. Dancing Drums Explosion is among the top three games and is now delivering four times the house average.In game sales our TwinStar J43 continues to deliver excellent results and in fact was the top indexing cabinet in the Eilers & Krejcik report. We began selling our new WAVE XL cabinet in the first quarter with three of our top internal brands and initial results are encouraging. Internationally, the Dualos X was approved in two of the largest Australian states and the sales process is just now ramping up.Looking ahead, we're excited about the potential growth created by new legislation in the state of Illinois and potentially other jurisdictions. We enjoy a leading ship share of VGTs in Illinois and expect to continue to grow as that state expands its gaming footprint. This legislation our market-leading share position in Illinois VGTs and the substantial ship share we received at the new Wynn, Encore in Boston provide clear indications that SG is and will continue to be a significant player as we capitalize on new domestic and international gaming opportunities.The Lottery group is consistently increasing its revenue and profitability. We saw a 12% increase in revenue, driven by strong year-over-year growth in systems and significant sequential improvement in instant products, including double-digit growth across five states who are SG-enhanced partnership customers. Our iLottery launch in Pennsylvania, the most successful iLottery launch ever exceeding $400 million in handle in the lottery's fiscal year ending June 2019, gives us a scalable iLottery platform we can deploy worldwide.In fact our Lottery division is delivering its best-ever win rate of 90% in prioritized markets including a 100% win rate when rebidding existing contracts. And 22 of our instant product and lottery systems participation contracts achieved record sales in the last year. The lottery industry reached a record $50 billion in retail sales of instant tickets in our last fiscal year and as the market share leader, we are poised to continue to deliver strong results in this key business.To better serve our Lottery partners, we also advanced our Lottery instant ticket manufacturing technology, allowing us to meet the increasing demand for innovative instant ticket products and deliver improved speed-to-market capabilities. Also, we're really excited about launching our new multistate James Bond-linked instant game which is another demonstration of our ability to leverage our great brands across our business units.Our SCiQ product is driving 12% to 15% increase in our customers' instant game sales, virtually eliminating shrinkage at retail locations. In fact Walmart has seen an over 30% increase in sales across our 10 Florida pilot locations. And our new SCiQ slimline has launched at 7-Eleven's store of the future. As this program is just rolling out, we're excited about the growth potential.In Digital, revenue increased 3% and we're winning in new and existing markets. Our iGaming business is the market leader in New Jersey with approximately 50% market share and we've added nine new customers including key players in the market such as DraftKings, Penn National and Parks just to name a few with more on the way. And while sport gets the lion's share of the press, iGaming is a very attractive business that's gaining its own momentum in the U.S.And as sports betting legislation in North America accelerates faster than most people predicted, we acquired Don Best to strengthen our capabilities and have launched at key partners like Caesars, Wynn, Delaware Lottery, Turkish Lottery, Danish Lottery and Oneida Indian Nation with others on the way. We're also launching in additional states with Caesars including Digital sports in Pennsylvania, Indiana, Iowa and others. We're adding these great partners in North America, while maintaining our market-leading position in the U.K. processing over 55% of all mobile bets and over 75% of all retail bets placed.With our robust, reliable iGaming solution, we helped New Jersey grow 57% to $217 million year-over-year. As the market leader in New Jersey, we played a major role in that success. In fact, we saw an increase of $400 million wagers placed on our OGS platform with over $9.3 billion wagers placed this quarter. As iGaming continues to grow in the U.S., our global experience and expertise position us to gain significant share. We are investing now to be the preeminent player in the emerging $20 billion-plus digital market with key wins materializing and firmly believe we're poised to best support operators with our robust, reliable and comprehensive sports and iGaming platforms.As we look at our Social business, I'm happy to say, SciPlay is off to a strong start. In Q2, SciPlay outperformed the market with 18% growth including 24% growth in June. Our growth would have been even better as we were negatively impacted in the first two months of the quarter by a third-party defective software issue that we've since transitioned away from.As evidenced by the incredibly strong growth in June, the issue's behind us and we're back to the performance we expect. This above-market growth has come across the majority of our game portfolio and not just Jackpot Party which continues to grow nicely. As has consistently been the case, ARPDAU payer conversion rate, mobile penetration and average monthly revenue per payer were up. We effectively managed our variable operating expense structure which enabled us to deliver a 44% AEBITDA growth for the quarter.The SciPlay IPO enabled us to raise cash, unlock the value of this fast-growing asset, while maintaining a majority stake. We believe that operating independently the Scientific Games business and end with Scientific Games business support and access to intellectual property, SciPlay will continue on its mission of becoming the number one casual mobile gaming company in the world.And finally we're winning awards and being recognized in the industry. In June, we won the platform of the year award for OPS and OGS at the EGR B2B Awards and Jin Ji Bao Xi received the best electronic gaming solution at the 2019, G2E Asia awards.This recognition is a signal that our forward-thinking reliable iGaming systems and our focus on creating world-class game franchises will amplify our growth throughout 2019 and beyond.In closing, we're excited by the near-term opportunities we have in front of us, as well as our best-in-class positioning for future profitable growth across existing and emerging markets.As you can see, Scientific Games is the most well-positioned player in the market to deliver best-in-class games, lottery and sports betting to players across any channel or platform they want to play, with a vision to deliver a seamless player experience that only Sci Games can deliver.This positioning along with our commitment to delivering outstanding games, innovation and a more efficient enterprise across our diversified portfolio of businesses sets us up for profitable growth and significant cash flow generation to reduce debt and continue on our deleveraging path.Now let me turn the call over to Mike to provide his review of the second quarter results.
Michael Quartieri: Thanks Barry. Good afternoon everyone. As you just heard from Barry the entire organization is committed to delivering outstanding content, innovation and operational excellence across our diversified portfolio of businesses. This continued focus allows us to deliver profitable growth and generate cash flow to continue our deleveraging path.With that let's move on to the second quarter results. For the quarter, consolidated revenue was consistent with the prior year period, while operating income increased 29%. Net loss was $75 million primarily driven by a $60 million debt financing expense related to the successful notes offering that lowered cash interest cost and extended debt maturity. And AEBITDA decreased slightly by 1%.We expect overall results to be stronger in the second half of the year driven by strength in game sales and continued growth in our other lines of business. In our Gaming business revenue in AEBITDA declined 9%. Items impacting the comparability of this quarter include the two sizable openings in the northeast last year, the implementation of the £2 stake limit in the U.K. in April of 2019 and the ramping down of system launches in Canada.Game ops revenue was down $2 million on a quarter sequential basis due to the impact of the £2 stake limit in the U.K. Our U.S. and Canadian revenue was constant where our yields grew $0.52, driven by strong game performance from our Bond franchise, Jin Ji Bao Xi and MUNCHKINLAND which was offset by a decline in the installed base of roughly 900 units primarily driven by a racino closure in New York and the removal of lower-yielding legacy products.Revenue from gaming machine sales decreased $20 million or 12% in the second quarter versus last year. We shipped 7,401 machines globally, including 3,443 replacement units in the U.S. and Canada and 1,228 opening in expansion units which includes shipments to the Illinois VGT market.Internationally shipments totaled 2,730 compared to 2,492 units a year ago. Year-over-year our average selling price for the quarter was down 1%. We are pleased with the performance of the WAVE XL with over 500 units sold in its first full quarter.In addition we continue to see great results from our industry-best cabinet the TwinStar J43 which has sold roughly 16,500 units to date including nearly 4,000 units year-to-date.Internationally Dualos X was approved in the two largest states in Australia in the second quarter and we expect to have approvals in the remaining Australian states by the end of the third quarter. We expect better results in the back half of the year related to the near term opportunities with the market expansion in Illinois, the continued strength of the TwinStar J43 cabinet and the ramp-up of WAVE XL domestically and Dualos X internationally.Gaming systems revenue was down $17 million from the prior year, primarily driven by lower hardware sales from major site installs. The major site installations in Canada are ramping down throughout 2019 and are expected to be completed by -- in early 2020.We are working aggressively to offset this with new business including iVIEW 4 units of which we sold nearly 11,400 this quarter. Table products revenue was up $3 million from the prior year to $62 million driven by the continued strength of our product portfolio.Turning to Lottery. Our second quarter revenue increased $24 million to $231 million and AEBITDA was up $4 million to $103 million compared to the year ago quarter. Within our Lottery business, our systems revenue increased $24 million or 42% year-over-year, driven largely by $27 million in equipment sales from new contracts internationally and increased domestic sales.We continue to work with lotteries and major retail chains such as 7-Eleven, Circle K, Walmart and Kroger on launches and pilots to SCiQ. Retailers and lotteries using the SCiQ system continue to experience an average increase of 12% to 15% in instant game sales and the virtual elimination of shrinkage.In instant products, we are in the process of rolling out the James Bond multi-state game. As Barry mentioned, this really highlights the power of our strong brands we can leverage across our businesses.For our SciPlay segment, we generated strong growth with revenue up 18% year-over-year to $118 million and AEBITDA was up 44% to $33 million. These results were driven by increased monetization of paying players with ARPDAU up 14% from the prior year, or an increase from $0.42 to $0.48. Following the resolution of the third-party issue, we generated a 24% increase in revenues in the month of June year-over-year.In Digital, we generated $69 million in revenue and $12 million in AEBITDA. We recently launched OpenSports in the U.S. our unparalleled suite of sports betting technology, which gives our customers a modular portfolio of products to meet their specific needs.In iGaming, we launched a number of great games this quarter and continue to win new business. The combined market potential for domestic sports and iGaming is in excess of $20 billion. With our unparalleled platform and clear market leadership position in New Jersey iGaming, we view the broader adoption of sports and iGaming across the U.S. as a tremendous opportunity moving forward.Moving to our cash flow and balance sheet. We generated $95 million in operating cash flow and $38 million in free cash flow in the quarter, which was $109 million increase from the prior year. At quarter end, we had $369 million in cash and cash equivalents and our net debt leverage ratio was down to 6.5 times as we continue our deleveraging efforts.CapEx was $65 million compared to $112 million in the prior year, which included the capital investments in highly accretive long-term projects in Maryland, Kansas and Pennsylvania. We now expect capital expenditures to be in the range of $340 million to $360 million for 2019. We paid down another $155 million in debt during the quarter, bringing our year-to-date total to $300 million.The cash proceeds from the Social IPO will continue to enable us to reduce our outstanding debt. We are working to enhance our balance sheet and reduce costs while efficiently deploying our resources to generate the returns needed to enhance our free cash flow and continuing our deleveraging efforts.This concludes our prepared remarks. Operator, you can open up the line for questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] The first question comes from Barry Jonas with SunTrust. Please go ahead.
Barry Jonas: Thank you. Just to start. Barry, can you maybe walk through some of the key drivers to hit your leverage target? I think last year you had some one-timers impact free cash flow. But how should we think about the -- should we think that you're going to hit your target more about a free cash flow pacing higher from say the one-half rate this year or maybe more of a pick-up on your LTM EBITDA growth rate? I'd love to just get some thoughts on some of those drivers and composition. Thanks.
Barry Cottle: Yeah, absolutely. Thanks for the question by the way. Yeah, so as I mentioned at the top of my remarks this -- from a financial goal perspective, this is our top priority and really it's to be beyond the range of 5.5. Look to get there, it's really a combination of free cash flow, debt paydown and growth in the business. We're firmly committed to improving the balance sheet beyond just achieving that 5.5 goal.When we laid out a strategy to really go after what it would take to do this in order to drive the top and bottom line growth to fund that and at -- and that strategy started out with basically setting the right company direction strategy and getting the right people in place. And you heard some of the kind of core personnel moves that we've made that we really think will strengthen our ability to deliver on what we need to do, but at the top of the list in terms of -- of course, strategy was to stabilize and grow the traditional markets that we're in and then prioritize by number one North America game ops is one.And as I also mentioned, our North America game ops after coming in in mid last year and looking at reworking the road map rework -- doing some re-segmenting from a market perspective and allocating R&D appropriately moving to a content-first approach with content interoperability, I think we've made significant strides here that you're just now seeing in the marketplace today. It starts with reversing against the trend that we had seen over the prior years to see the stabilization and now seeing basically the content that's coming out that's hitting the marketplace with really strong signs of performance in the marketplace. It starts with that one-two punch that we talked about with Jin Ji Bao Xi and Bond both continuing to perform extremely well at over a 2x performance and starting to get deployment across the universe.Jin Ji Bao Xi is up to 568 placements across 28 states now more than double, since we had our last call and we have content interoperability now and officially in full swing there too. 75% of our new content now works across multiple cabinets, which has enabled us to achieve the – this game ops kind of stabilization turnaround, while also decreasing game ops CapEx which we've done by 35% from first half 2019, over first half 2018.And Jin Ji Bao Xi is a great example of that where essentially we have 50% of the units out on the J43 and 50% out on WAVE XL. And I think I had mentioned in the last call that, if we had launched this game a year ago we would have been – only gone out on the high-priced cabinet. This enabled us to get floorspace faster at lower cost, but not hurt any of the performance.In addition to those two we – I think I mentioned also on the last call we had a couple of games coming up that we thought would be good and that's bearing out in the marketplace. We've got MUNCHKINLAND that's delivering a 3x performance and Dancing Drums Explosion which is at 4x. So, and we've got a kind of a sleeper product let's call it with Ultimate Fire Link which has been out in the marketplace but just continues to get better and better and better in performance and is now performing over 2x. And we've got additional – two additional games being released now and another two later on this year and that is just really moving nicely in game ops.So we're super bullish about where we're seeing game ops go and we think that's going to contribute a lot to the bottom line and help hit those targets that we talked about. And so that's super exciting for us. On the – the other thing is that, that I mentioned to you is kind of what we did last year it was this re-segmentation and reworking the road map. And we went out and we looked at where we saw marketplace opportunities where we were lower-indexed in and things that were emerging. And what popped up there was obviously things like Class 2 historical horseracing and other markets where we see we have a real opportunity.And then obviously, I also mentioned earlier the Illinois VGT expansion where we have a leadership position. So in those markets as well we've got some kind of market segment opportunities that layer on top of that. The second piece in this – under our first strategy is stabilizing and growing traditional markets in Gaming is addressing game sales and getting game sales in a position where we're going to see really strong growth from – through the second half of 2019. And again, kind of this is a tale of domestic and international.On the international front, we rolled out the Dualos X. We now have it passed in two major states in Australia. We've got the most amount of content we've ever launched in Australia as we call them swim lanes behind feeding the swim lines – lanes behind those – that cabinet, and so – which is set up for a nice growth in the second half of the year. And domestically we've also got on the game sales front we've got the J43 which continues to be the highest-indexing cabinet continuing to sell well in the for us but just layering on top of that now is the ramp-up of WAVE XL.And so as we go into Q3 we have six games that we just launched and approved that are WAVE XL exclusive. And it includes some of our top brands like Fu Dao Le and the new Quick Hit Red and Blue games. And we have eight more games coming out after that. And so the most excited I think what we're excited about is the Drop 'N' Lock games.So we've got – if you look at it we've got again a really strong-performing J43. We've got the WAVE XL that's just really coming out and starting to hit the volumes that we want to see it hit and we've got now the content in the back half of the year that we think is going to give us the growth that we're expecting for the remainder of the year. So kind of number one is kind of core to when getting to that 5.5 is addressing that – the core traditional market.On top of that, the other piece of the 5.5 is across the other business lines. And I talked about Lottery in the – and the momentum we have on that and I think we've got SCiQ and a few other kind of what I call product enhancements lined up with continued strong sales of hardware that we believe will continue to help us get to that growth.SciPlay which we just had our first earnings call just minutes ago, with 18% year-over-year growth that was basically somewhat dampened by a couple of months of a technology issue. But that is again also poised to continue to grow with -- at a strong margin that will continue to contribute.And then we have digital which we are continuing to launch new deals. And each -- and as these marketplaces are announcing and launching, we're starting to -- we're still moving through the -- going from the investment stage and getting the sports platforms set up in these states, to where they're beginning to start generating revenue and the like.And so the combination of stabilizing and growing the core gaming space, which we spend a lot of time prioritizing and working with the teams to revamp the road map, get the right content in place to make sure we have the CapEx and the content interoperability set.And then, with the right investment and momentum behind the emerging digital businesses and the ancillary products on top of what, we've talked about, we think there's a real opportunity to -- we think that will drive the growth that we need in order for us to get to the 5.5 and beyond.
Barry Jonas: Great. Thanks for that comprehensive answer. Just maybe one more for me, I think you could probably make the argument that Scientific Games stock doesn't necessarily reflect the full value of SciPlay.I just would love to get your thoughts how you think about this disconnect. And could further SciPlay equity sales potentially make sense down the road? Thanks.
Barry Cottle: Yeah. I mean -- well I guess what I'll tell you is, look I think -- look we're extremely happy with. And I would say, we think that what we did with SciPlay was super smart strong strategy on -- in the sense of, what we've created was an entity that we enabled to be independent. And then as you said, unlock value on the marketplace.And it enabled us to raise immediate cash that we could use to pay down debt. But hold a -- a very -- a high majority share of the 82%. And an asset we believe is strategically well-positioned for high growth.And so, we got to, raise -- I think historically that business was putting off anywhere around $77 million, $75 million to $80 million in cash. We raised over $300 million. So we've got 3 times what it was of the cash upfront. We maintained the 82%. We keep a strong strategic hold in it. And we enabled them to operate independently to compete in the marketplace.And so, it's hard to comment on, the different relative valuations and the like. But just from a strategic move perspective, we feel still very strongly that that was the right thing for us -- for the organization in the long-term. That will create the highest amount of shareholder value for both organizations.
Barry Jonas: Got it. And Mike, I apologize if I missed this, but CapEx guidance implies somewhat of a jump in the second half of the year. Can you talk about what's driving that?
Michael Quartieri: Yeah. It's some planned investments that we have on the Lottery side, with our new press technologies that are coming through in the back half of the year.As well as expected increases in our CapEx spend around lease gaming machines, as we push out more footprint, now that we've got content that's outperforming the market that we're seeing today that Barry outlined with Dancing Drums Explosion, MUNCHKINLAND, new Bond content that's going out that's actually increasing the overall Bond franchise footprint. So that's the planned spend for it.
Barry Jonas: Great all right. Thanks so much guys.
Michael Quartieri: Thanks.
Barry Cottle: You got it. Thank you.
Operator: The next question comes from Brad Boyer with Stifel. Please go ahead.
Brad Boyer: Yeah. Thanks for taking my questions guys. First one is just an extension on Barry's question. And can you might be able to provide some perspective here. But just curious as you guys look out and -- sort of a crystal ball question but as you look out over sort of the next 18 months to get to that 2020 level.Is there anything lurking out there today that could be like in Italy of years past where, there's a one-time cash payment that could potentially sort of derail, your deleveraging objectives? Just any thoughts around that?
Barry Cottle: Yeah. I'll take it here. It's kind of remarkable. When you go back and you look at last year. And the heavy CapEx level from last year it was due to that abnormally higher number of new contracts and renewals that came through that year.When you're looking at this year the contract renewal that was coming is Pennsylvania, but given the challenge that took place and the delay in that overall RFP process that CapEx spend isn't coming anytime in 2019. It may get pushed into late 2020. It depends on what we see when the outcome of the RFP takes place.But other than that that's it. If you looked at the Italy instant ticket concession that's actually a CapEx spend that was supposed to take place this year. But because the government wanted their funds quicker and we're able to get the nine-year extension on the same terms that payment got accelerated in the last year. So I don't see any large surprise payments that are going to be coming through the rest of this year and into 2020 that is going to have that type of material impact.
Brad Boyer: Okay. That's helpful. And then another question just a high-level question around slots. I think there's this sort of building thesis out there today that some of the large M&A that's taking place on the operator side could potentially be gumming up the market a little bit with respect to product sales and lease finance and lease placements and what have you. Do you guys have any color you could provide around that? Are you seeing anything to that effect? That would be helpful. Thanks.
Barry Cottle: I mean look I think consolidation's been happening for a while. So honestly, it's not new. So in general operators are willing to pay for the best content. They need a vibrant floor they need great content on the floor. And so for us we're just -- and mostly if you look at most of the ones that have been recently announced all of them really strong customers of ours we have their systems business and so that -- we haven't really seen it at this point or speculated on anything right now.
Brad Boyer: Okay. Thanks. And the last for me is just around SCiQ. I mean, obviously the numbers that you guys talked about are fairly impressive. Just curious what are some of the limiting factors at this point that are preventing a more widespread rollout of that product?
Mike Quartieri: I'll take it here. When you really think about it, you've got what you think your normal procurement process would be when you're dealing with a company. If you're able to give them this type of delivery on increasing sales, controlling your shrinkage and what that could do to their bottom line, there's a much faster procurement process. You got to set that aside and now realize that you're dealing with state government and their processes are just remarkably different than what you would typically see in a company.Plus when you look at the way their budget process works, July one was the start of their new fiscal year, so their funds have been now apportioned out to the lottery from the state. So we do expect to see an increase in sale activity in the back half of 2019 given that you had enough time frame for these people to be able to see the value of SCiQ, the constant delivery of the results and now they have a fresh amount of capital spend starting in July 1 and so therefore we would expect to see that increase in sales coming through back half of 2019 and then moving forward into 2020.
Brad Boyer: Thanks guys. Appreciate all the color.
Mike Quartieri: You got it.
Operator: The next question comes from David Katz with Jefferies. Please go ahead.
David Katz: Hi, afternoon everyone.
Mike Quartieri: Good afternoon.
David Katz: I wanted to ask about the systems business, which historically as you point out has been somewhat episodic and lumpy. But in particular, over the past few years there have been a couple of customers that are of a larger category that have backed away a little bit. And I thought I would ask if there were any engagements or efforts so forth that are bringing them back in the fold or if there are any other kind of larger customers out there globally that are kind of on the -- on your whiteboard to try and bring them in. And obviously, we can't necessarily talk about specifics on that second part of the question. But I'm just curious what kind of resources you're putting around systems these days.
Barry Cottle: Yes. I'll take that. I mean, when you look at the systems business right now a lot of our resources have been tied up on the very large Alberta and Ontario contract. And as that then comes to close as I commented in early 2020, a lot of those resources on the installs are starting to move off and then go to -- into other pieces of our business. So when you look at our portfolio across the board, you're right. There are only a limited number of very large transformational and highly accretive opportunities like the Alberta and Ontario contract.So in order to drive that type of a large-scale business, it's either going to come from a large system conversion by taking away a customer from either an IGT Aristocrat or Konami. Or it's going to be through enhancements of our existing systems to our existing customers. And to be honest, it's a heck of a lot easier to sell to your own customer and drive the value of what they want in the new products and the new advancements that we can bring in that systems business.So the systems business we look at is although we got the benefit of Alberta and Ontario that's going to be rolling off. We're excited about the new opportunities and products that we can bring out to our existing customer base in order to generate additional revenues through them.
David Katz: Okay. Thank you very much.
Barry Cottle: You're welcome.
Operator: [Operator Instructions] The next question comes from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Good afternoon. Thanks for taking my question. I wanted to ask about domestic instant ticket product revenue, which you guys are obviously the market leader in and I think everyone believes this is one of the best categories in Gaming and Lottery. IGT which manages your products has reported two straight quarters of mid-single-digit growth here and I believe they're just managing and distributing the tickets that you're manufacturing.Could you help explain the disconnect with what you're reporting, because I believe you had two straight quarters of declines and I believe some of it might just be based on the contract types? But any other color there would be helpful. And then, if we should expect this in the back half of the year any type of a disconnect? Thank you.
Barry Cottle: Yes. Hey, it's a great question and we'd like to thank the FASB for writing new rules out on revenue recognition that causes this type of disconnect to take place. If you typically go through and look at and go back to pre, call it, 2017 and prior, a lot of our contracts were based on the percentage of revenues, so the revenue was actually recorded when you have the retail sale take place.Today with the new revenue recognition rules, once that box of tickets leaves our control, we record the revenue. So it causes a very much and, I hate to say the lumpiness of the business which used to be a nice steady static piece of business for us. And because we're such a market leader on the instant ticket side and on top of the fact that we've got the SGEP program, which is where we take over the actual lottery's warehouse and truly run the entire supply chain and marketing function for the lottery itself, in instances like that, although the lottery used to control that warehouse, now we've picked it up as an SGEP client.That goal line as to when that inventory actually leaves our control, gets pushed out further and further and therefore that causes the revenue recognition component for us to get strung out even further and longer. So I think when -- and I commented this on the Q1 call, you really got to look at our instant ticket results over an extended period of time, almost like on a trailing 12-month basis, as that continues to work itself through.So you will have fluctuations quarter-to-quarter, just based on the contract type itself. In addition, if you looked at, I'd say, back in 2017 and through early 2018 we were really riding the success of the WILLY WONKA GOLDEN TICKET promotion, which was a remarkable game that generated almost nearly $900 million in retail sales and benefit to the various states that participated in that. That type of kind of incremental sales is also providing for a more tough comparable over that extended period of time as well.
Chad Beynon: Thank you. I appreciate it. Very comprehensive. And then, on just the balance sheet. I know, obviously, a lot of the call here is focused on getting to the leverage targets, but given where interest rates are, could you just talk about any opportunities to call some of your outstanding debt or rework some of the tranches there, which would obviously come with maybe a one-time payment, but set you up for better free cash flow in the future? Are there still opportunities on the balance sheet given the current environment? Thanks.
Michael Quartieri: Yes, sure. Absolutely, I mean, if you look at the -- we still have the remaining $1.2 billion of the 10% notes sitting out there. Now, come December 1, that call premium steps down to $1.025 billion. So we want to make that we're keeping an eye very closely on that and positioning ourselves to take advantage of refinancing the remaining portion of that.I also -- we're kind of keeping a close eye on the sub-notes. You've got the maturity coming up in 2020. But just note that on the sub-notes that are coming up, if we do anything prior to one year out from their maturity that will utilize restricted basket capacity. So we want to make sure that we're very cautious about that. And at the same time we're keeping an eye on everything, especially with the IPO proceeds that we have and making sure that we're using those effectively to position ourselves for the future refis that we need to do.
Chad Beynon: Appreciate it. Thank you very much.
Operator: The next question comes from John DeCree with Union Gaming. Please go ahead.
John DeCree: Hi, everyone. Thanks for taking my question. I had two. Just wanted to ask, if you could provide a little bit more detail. You've obviously made two strategic hires Jamie and Matt. I was wondering if there's any signal of a change in strategy? Or if they're going to be able to just help execute. If you could just comment a little bit on your thoughts there.
Barry Cottle: Yes. No, happy to do so. No change in strategy. In fact I would say it's just -- it is about executing on the strategy. We want to build and deliver the greatest gaming experience to anybody anywhere they play. And both Matt and Jamie are people who -- I mean they are strong cultural leaders with proven industry success that love games and know games. And so, we're thrilled to be able to bring them on and work with them in our mission to go make that work.I think, if you look at Matt, in particular, great people do great things and we're building our goals to build this greatest gaming company. And he's a superstrong addition to the team. It really completes our master plan for staffing of the leadership team.If you look across our BUs, each of our BUs are being led by rising industry stars that are aggressive hungry and have great track records of success in their respective businesses, kind of ready to write their own legends. And Matt fits really nicely into that mold and he's kind of been born and raised to this industry with that passion for gaming and which is fantastic.And Jamie as you guys know he's -- his reputation speaks for itself. He's just -- an a gaming icon that we're super excited with that he can partner with me and with Derik prior to Matt coming onboard to really work across the board on strategy, product roadmap, content and help us make that happen and then obviously continue to mentor and help us as Matt comes onboard. So we're super excited about that.
John DeCree: Barry that's helpful. And I wanted to jump back to the deleveraging question I think in response to Barry Jonas' question a little earlier. You've outlined all of the initiatives you have across your business segments. And while it's -- we like to hope and think all of our initiatives will work.You do have a number of opportunities whether it's; SCiQ, VGTs in Illinois everything you're doing on the Gaming Ops side. Is it a fair assessment to say, I mean as we look at your leverage target in our model, we really only need moderate EBITDA growth in our model kind of mid-single digit to get there.Given the number of initiatives, is it fair to say, you don't have to necessarily execute on everyone perfectly through 2020, given how many initiatives you have? And your level of confidence in at least getting some of those initiatives to ramp in SCiQ, timing is difficult as Mike had mentioned in his response to a question?So I just wanted to gauge your level of confidence in getting to some of those things to generate EBITDA growth that you need to, to kind of hit that leverage target?
Barry Cottle: Yes. No, I mean, I think that you actually said it well which is the -- you don't -- the way we prioritize those opportunities based upon the GAAP upside that we see prioritize our -- and the probability of success and the return on investment. And I would feel that we were smart about doing that and so it makes us confident. And we don't have to hit 100 across the board on all of them to get it so we have a high confidence level.
John DeCree: Thanks Barry. Appreciate that.
Operator: The next question comes from Joseph Stauff with Susquehanna. Please go ahead.
Joseph Stauff: Good afternoon. I wanted to try to better understand basically the outlook or how you think about sort of the outlook for your North American install base. This -- the operational turnaround in game ops, I know is in process right and at least in the history of the company is it -- it kind of keeps getting pushed out.So if I look at the second quarter and I adjust basically for the closed racino, the install base was flattish I guess sequentially. And I'm wondering is it reasonable to assume that you could get some level of year-over-year growth in your installed base some time this year in North America. Or that's going to require some pretty big numbers. I was wondering like how you think about it.
Barry Cottle: Yes. Look I mean we're not -- without speaking specific numbers the -- as I mentioned, we've got -- we believe you actually called out perfectly the impact to the installed base that impacted us on Q2, but we were over-indexed in WAP. We were under-indexed in premium.We've now reworked our product roadmap to have the right shots on goal across the category of game ops and we're starting to penetrate the floor with great product at the right business model and price point.We think by doing that we're going to have both the player demand and then the operator demand in order to grow our -- the floor print. And then -- and along with that we think we'll get the yield with it. We're seeing signs of that. We're confident we can achieve that.
Joseph Stauff: Okay. So it sounds -- and I just want to clarify here. It sounds as though the strategy basically is likely to pay out more so in the yield per game versus sort of the installed base. The installed base obviously is much harder to predict and obviously there are a number of factors. But is that a fair assessment that assuming execution of the strategy in the new product portfolio and so on and so forth, you will see it as we normally have at least thus far in the higher yield per game, but the installed base may take longer.
Michael Quartieri: That's a fair assessment because if you look at the games that are coming back they're still a sizable amount, I'd say probably close to 35% to 40% of the existing footprint that are older cabinets. They're ones that are like 6, 7 years old. Like we commented on in Q1, decline in the footprint nearly every one of those games was in excess of six years old. And so when you are looking at an operator, games that are six years old are sitting in the corners of these casinos and actually more function as furniture than they do as a real revenue-generating piece of equipment for them.So as those units come back, we're going to be very opportunistic about the footprint that we put out there to make sure that we're going to get the best return possible from a free cash flow perspective. So you're right. You will see it on the yield side. Absolutely.
Joseph Stauff: Okay. And then just one follow-up. On SciPlay, first quarter just reported, how do you guys think about this, right? You have the large majority stake. Is it something where call it 180 days after the IPO in May that could be something where you would think about distributing those shares on a tax-free basis? Is that in the works? Or do you think more so of your large majority stake being more longer-term in nature?
Michael Quartieri: I'll cut -- the whole purpose of going back two years ago in spinning SciPlay or which was the Social division into an unrestricted sub was to enable this to become this entity that we could do the IPO for. That IPO was purely for deleveraging purposes here at corporate, and any future I'll say stock transactions associated with SciPlay would probably consist of secondary offerings with such proceeds coming back into the corporation to be used for deleveraging.
Joseph Stauff: Got you. Okay. Thank you.
Michael Quartieri: You got it.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Barry Cottle for any closing remarks.
Barry Cottle: Great. Thanks for joining us today. We appreciate your support. The entire organization is laser-focused on delivering outstanding games and capturing market share in emerging digital markets while making our business more efficient. These key focus areas will allow us to deliver the greatest returns to our stakeholders, set ourselves up for profitable growth and generate significant cash flow to continue on our deleveraging path.We're firmly committed to reducing leverage in this business and will continue to focus beyond our current target of 5.5. I look forward to speaking to you next quarter or hopefully seeing a lot of you sooner at G2E in mid-October and showing you our product lineup that we're really excited about this year. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.